Operator: Good evening and welcome to IDT Corporation’s Second Quarter Fiscal Year 2024 Earnings Call. In today’s presentation, IDT’s management will discuss IDT’s financial and operational results for the three-month period ended January 31, 2024. During remarks by IDT’s Chief Executive Officer, Shmuel Jonas, all participants will be in listen-only mode. [Operator Instructions] After Mr. Jonas’s remarks, Marcelo Fischer, IDT’s Chief Financial Officer, will join Mr. Jonas for Q&A. Any forward looking statements made during this conference, either in the prepared remarks or in the Q&A session, whether general or specific in nature, are subject to risks and uncertainties that may cause actual results to differ materially from those which the company anticipates. These risks and uncertainties include, but are not unlimited to, specific risks and uncertainties discussed in the reports that IDT files periodically with the SEC. IDT assumes no obligation either to update any forward-looking statements that they have made or may make or to update the factors that may cause actual results to differ materially from those that they forecast. In their presentation or in the Q&A session, IDT’s management may make reference to non-GAAP measures, including adjusted EBITDA, non-GAAP net income, and non-GAAP earnings per share. A schedule provided in the IDT earnings release reconciles adjusted EBITDA, non-GAAP net income and non-GAAP earnings per share to the nearest corresponding GAAP measures. Please note, that the IDT earnings release is available on the Investor Relations page of the IDT Corporation website. The earnings release has also been filed on Form 8-K with the SEC. I will now turn the conference over to Mr. Jonas.
Shmuel Jonas: Thank you very much. Welcome to IDT’s earnings conference call. My remarks stay focused on the second quarter of our fiscal year 2024, the three months ended January 31st. For a more detailed discussion of our financial and operational results for the quarter, please read our earnings release filed earlier today and our 10-Q that we expect to file with the SEC on Monday. The second quarter was highlighted by the continued expansion of our growth businesses, with both NRS and BOSS Money surpassing the $100 million annual revenue run rate milestone. However, our expense management was not where I wanted to be for the quarter, and I expect it will get better. NRS continued to deliver robust recurring revenue per terminal. We again saw strong growth in Merchant Services and SaaS revenues, and increased Merchant Services revenue per NRS Pay account. We added approximately 1,500 net new terminals to the NRS network this quarter. We did have some one-time cost related to bad debt which affected our quarter. BOSS Money delivered another quarter of impressive results with 42% year-over-year revenue growth. Its improving economics helped our Fintech segment to achieve adjusted EBITDA breakeven for the quarter. One key to the continued growth in this business has been our commitment to making money transfers faster, more convenient and secure for our customers. And to that end, we recently introduced an option for our US-based customers to send money directly to bank accounts through the recipient’s Visa or Mastercard. We are seeing good customer response in the remittance corridors where we have launched this offering and we’ll be expanding the service to many other destinations in the coming months. I am also very pleased with net2phone increasing subscription revenue 19% year-over-year and achieving cash flow breakeven, which we measure as adjusted EBITDA less CapEx. Together, our combined growth segments propelled IDT to achieve another quarter of record consolidated gross profit and increased gross margin. The businesses within our Traditional Communications segment continue to generate strong cash flows. Over the past few months, we have been very focused on reducing our overhead and on streamlining our operations within our businesses and company-wide. You will see the benefits of these efforts in the third quarter and beyond. Now, I want to provide some context to our Board’s decision to initiate a quarterly cash dividend. NRS, BOSS Money and net2phone no longer need new cash investments to fund their organic growth. In aggregate, they have become significant contributors to our bottom line and we expect them to continue to increase those bottom line impacts. Meanwhile, we expect cash flows from our traditional business to continue to remain robust for years to come. The strength of our operational results and our balance sheet, including our enhanced liquidity, provides us with flexibility as we invest in the development of our next generation of exciting early-stage initiatives and scout for other growth opportunities and other countries in which to add our services. In light of our robust financial position and positive outlook, the Board felt that we should supplement our ongoing program of opportunistic stock buybacks, which can vary from quarter-to-quarter, with regular, predictable dividend payments to our stockholders. To wrap up. I want to thank our employees at all our offices worldwide for their hard work to make these results possible and thank our Board for their support. Now, Marcelo and I’ll be happy to take your questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] We have the first question comes from [William Wathon] [ph] with Coriant. Please proceed.
Unidentified Participant: Hi, gentlemen. Congratulations on the great quarter. I just wanted to ask about what you’re seeing in terms of the consumer base for the NRS business? What trends are you seeing in that type of consumer, in terms of spending, in terms of inflation? And a follow-up question would be, what are you seeing in terms of acquisition opportunities for expanding to different businesses or different business segments out in the marketplace?
Shmuel Jonas: Those are good questions. Well I mean, the first thing I would say is, we’ve put out a monthly report called NRS Insights that our data team provides, which if you don’t get, I suggest you look it up. I mean, I can give you the basis from – I don’t want to give away the report before we publish it, but I’ll give you just a couple of pieces from it, which I think are probably the highlights you’re looking for. So, overall, I think that the stores are doing pretty well. Not as – definitely. I would say that from an inflation standpoint, it’s moderated quite a bit like the average price increases for February were 1.2% year-over-year, and same-store sales, February of this year versus February of last year increased 3.5%. However, there was one day more. So I’m not sure, although I think we might normalize for that. I think we take it out. I think it’s actually 3.5% once it’s normalized for that.
Marcelo Fischer: Correct.
Shmuel Jonas: And then, from January, there was a decent bump. I think our sales were up about 7.4%. So, those are like the big picture numbers from the insights, you can – when the report comes out on Friday, you can read the rest of it. As far as where the business is going and the types of acquisitions that we’re looking at, I would say that in net2phone, we’re not really looking to make any large acquisitions. I mean we think that we have a lot of projects that are being worked on internally, and we’re very happy with the pace there. In the remittance side of the business, we’ve looked at possibly adding on certain channels or countries that we’re not so strong in, to sort of gain a foothold then and then expand upon. The one or two that we had been looking at relatively recently ended up really not fitting our qualifications and we decided not to go ahead with them. But we’re always in the market looking for acquisitions that will help our bottom line. And as I said, help us grow into new countries and new verticals. As far as NRS, there are some small acquisitions that we are looking at. We just made an acquisition in the restaurant technology space to help us get into that vertical. But we – overall, I would say that we’re really more focused on growing things organically. I know that’s not as maybe as exciting, but we think we do pretty well and we’re going to continue to try to grow things organically.
Operator: Okay. The next question comes from Jason Lustig. Please announce your affiliation, then pose your question.
Jason Lustig: Hey guys. Just curious how you’re thinking about the spinoffs or potential spinoffs of net2phone and NRS in light of them both being free cash flow breakeven or better going forward?
Shmuel Jonas: I would say that we’re not looking to do anything imminently. I mean as I talked about on the Investor Day, I think a big piece of that is how the market perceives things, particularly in the net2phone area. The market has still really not been particularly strong for companies, I’ll say, in our verticals, even though I think we’re by far the best. So you’re – when you’re in a weak vertical, you get judged amongst them as well. As for NRS, I think one day it’s going to make a great independent company. And I think that when that right time to spin-off is, I can’t comment on that today, but we continue to build it for it to become much more valuable than it is now.
Jason Lustig: Okay, thank you.
Shmuel Jonas: Thank you, Jason.
Operator: [Operator Instructions] Okay, we have a follow-up coming from William Wathon with Coriant. Your line is live.
Unidentified Participant: Hi, again. So I just thought of a follow-up. You mentioned, this might have been during the Annual Meeting that in the BOSS Money business or the Money Transfer business, the key is getting to scale. So getting to a scale where you can reach profitability and getting that transaction volume through. So with the reaching of, I think, adjusted EBITDA breakeven this quarter, do you feel like you’ve reached that point of scale where you’re going to get future profitability in that business? And you talk a little bit more about the trends you’re seeing there and what you think the long-term profitability could be of the Fintech side?
Shmuel Jonas: It’s not as simple of a question to answer as you would think. I mean, what I would say is, we sort of said that if we continue to grow the business at sort of like half the pace that we’ve been growing it at. We could see it getting to, I think you said, $14 to $15 million of profitability from that part of the business over the next two to three years. The one thing I would say is, it’s all depending on how much you want to invest back into acquiring more customers and growing verticals that you’re not as strong in. So I mean you can pick any country, but pick Vietnam. Today, we have no volume to Vietnam. If we wanted to get into Vietnam, there’s really two ways of doing it. You can either acquire another company that has volume to Vietnam or you can spend a lot more than you have to, acquiring customers and sort of overpaying on the payout side and hope that once you get to a larger base of customers, you’ll then figure out how to maximize the profits on it. So we’ve sort of taken the approach of really trying to be much more focused on verticals that we already had penetration on in our Calling business or in our Top-Up business, and really trying to move customers from one place to another. But it’s definitely going to be a profitable and growing part of our business. So I mean. I don’t know if that answers your question, but, Marcelo, you have anything to add maybe?
Marcelo Fischer: I would say, William, just put a little more context, is that, obviously the Money Transfer business, BOSS Money is the lion’s share of the Fintech segment in terms of revenue, and that part of the business, BOSS Money have been generating positive EBITDA now for the last two quarters, and now probably, I think, did more than $1 million in positive EBITDA the last six months. So it’s doing well, and that EBITDA will continue to grow at its scales, but to some extent, BOSS Money now growing EBITDA, funding other investments in that segment, right. We have our Gibraltar Bank, which is at the cusp of receiving a full license to operate at a full bank. We have our initiatives in online banking, online bank Elroy or Neo-Bank. So Gibraltar, the Neo-Bank, they’re kind of mostly pre-revenue at this stage, and it requires investment. So we're kind of investing in those initiatives now with the cash flows from Money Transfer at this point. But going back to the Money Transfer topic and to your earlier comment, a lot of the acquisition that we have looked at in the last few months, all focused on the Money Transfer space. We do believe that scale matters hugely in terms of getting to higher profitability in that industry and growing organically have been good for us. We’ve been growing at around 35%, 40% clip, which is excellent, better than other in this industry. But being able to supplement that with an acquisition, will probably make a lot of sense in reaching scale. We’ve looked at a few of them. As Shmuel mentioned, right, the one we looked at so far have not met our criteria, and we’re going to maybe continue to look at some future opportunities in that area.
Unidentified Participant: Okay. Thanks, guys.
Operator: [Operator Instructions] Okay. We have a question coming from [Bill Monet] [ph] with – he is a Private Investor. Bill, please proceed.
Unidentified Participant: Hi, guys. Just a question. I see cash balances are building fairly rapidly. You guys have stated that big acquisitions do not seem to be part of the plan now. And your businesses are self-funded. I know you put in a small dividend, I guess about $5 million a year that’ll be at this point. Do you have any plans for the cash? It seems to be building up fairly rapidly, and it doesn’t seem that there are many uses for it?
Shmuel Jonas: I mean either acquisitions or stock buybacks that’s really the two main places.
Unidentified Participant: Got it. Thank you.
Shmuel Jonas: Yeah, thank you.
Operator: Okay. It looks like we have no further questions in queue. As there are no more questions, this concludes our question-and-answer session and conference call. Thank you for attending today’s presentation. You may now disconnect.